Jacques Riou: Good evening everyone. We'd like to thank you for joining us here this evening for this presentation of Rubis' Business in 2024. There are four people here. My name is Jacques Riou. I'm here as the Managing Partner of the group. We also have Clarisse Gobin-Swiecznik. And to my left, we have Jean-Christian Bergeron, who is the Director General of our most important subsidiary, Rubis Énergie; and Marc Jacquot, our CFO. I'd like to point out that Jean-Christian and Marc will be joining the Management Board of the group during the year. Of course, if the AGM Meeting in June follows us on that motion. I'd like to start by giving you a quick overview and a reminder of what Rubis is as a group. We have presence across three continents, 50 or so countries now. And it's worth remembering that we have strong presence in all of the countries where we operate with the exception, of course, of the countries that we've just added into our scope. It's also noteworthy that we have quite an agile and a very decentralized organization. Our intent is to work as closely as possible with the end clients, our own end clients. By doing this, we're able to provide them with the energy that they need that meets their needs as closely as possible through our legacy products that we've been distributing, so LPG [ph], bitumens, lubricants, and the like, with also more recent low-carbon solutions, so biofuels or low-carbon electricity from solar panels. To fulfill our mission to be able to provide our customers with a product that is competitively priced and safe, we have invested a lot in integration of the value chain. This means that we have very solid logistics. We have everything from refineries in the French Antilles islands all the way down to specialized teams supplying the entire group that you can find in the Caribbean region and also in the Middle Eastern region, specifically Dubai. We also have a fleet of ships, which is rare, if not unique, amongst our peers. You can see that we have a fleet of 16 ships, 10 of which are self-owned. These fully match our logistical needs. We have a lot of power because the ships are amongst the largest bitumen delivery ships and we also have a whole range of other sizes for agility. We, of course, then, of course, have terminals and storage facilities where we need them, where third-party storage is not available or not large enough. We also sometimes have fleets of lorries where that may be required. Taken as a whole, this enables us to provide the correct solution to our clients -- our end clients, I mean. In Africa, we have presence in 24 different countries and nearly 650 fuel stations and we are amongst the top three in each of those countries. Africa accounts for a little bit more than 30% of group's overall EBITDA, so a very significant weight across the group. On the map, we have a color system that shows you where we have bitumen business, which is developing really strongly and others. Now, of course, Africa has a lot of potential for expansion. We also work in the distribution of fuel and LPG. In these cases, growth is mainly tied to population growth, which is strong and also the increase in the size of a middle class, i.e. people who are able to spend, to travel, to move around, and to contribute to developing the economies of the country further. A quick side note on LPG, which is developing really quickly in these countries. We're seeing industrial and professional development, especially in South Africa on that. This should be seen as a product that is transitional from an environmental perspective. It replaces coal and charcoal for cooking and it's having a very big impact on the health of people, especially respiratory disease. We are recognizing more and more the damage that the old legacy fuels have had. In the Caribbean, we are still amongst the top three in all of our countries. We've got more than 400 service stations. The Caribbean accounts for more than 50% of group's overall EBITDA, so a major region for us. We're also very good at LPG over there and strong in the countries where we work at distributing a range of fuels. The Caribbean region is very interesting for us because it is highly connected to the American economy through tourism and travel and also a range of financial services. I would like to add that for South America, we have presence in three countries -- or French departments, Suriname, French Guiana, and Guyana. These are regions where the population is booming and development in Guyana and Suriname is very strong industrially. There have been some big oil discoveries off their shores and that has further contributed to a quick influx of money and business into those regions. In Europe, our traditional business is LPG distribution. This is a business that we provide mainly to non-urban and rural regions. It's very resilient, it's not easy to replace, and it's very good from a cash flow perspective for us. It's a very good business. And of course, much more recently, over the last three years, we decided to invest in low-carbon energy because, of course, it's a big opportunity for European businesses. As it stands, we are one of the major solar panel electricity operators in France. And thanks to that French platform, we've been able to start to invest in Italy and some other countries. I'm sure that Clarisse will be able to give you more details on that. Just to give you a quick number, we have more than 1 gigawatt of production secured in the portfolio, which is a little bit more than a doubling of our capacity since we added this business into our portfolio. I'd just like to give you a kind of overview on some of the highlights of the past financial year with three or four items of note. First of all and probably the most important thing, is that the volumes are there. And in fact, the volumes are up. We've seen an increase in distribution volumes of plus 5%, which is excellent and does match performance over the last five years. I would say that this is part of a wider trend that's well-recognized at this point. For Photosol, which is our solar panel business, the volume has increased by 22%, so very significant there. Overall, profitability of our business has been good with €342 million net income, that is up 3% or 4%, depending on if you look at like-for-like or the final year books. We are slightly down versus 2023, but as a reminder, that was a peak for us. So, we're somewhere between our peak in 2023 and the previous all-time high, which is 2022, which is still very good. All of this is done with strong financial discipline, with a net debt, corporate net debt over EBITDA ratio of 1.4x. Corporate debt excludes the solar panel funding; otherwise, it will be at 1.9x. And to wrap-up on these highlights, we're going to be recommending to the AGM a €2.03 per share dividend, up 2.5% versus the previous year. I think we're at 29 years on the trot that we've been able to increase the dividend every year. And as a reminder, in 2024, we also paid out an exceptional dividend of €0.75 per share, which came from capital gains from the sell-off of one of our legacy businesses, our terminal business; that was Rubis Terminal. I'd now like to give the floor to Clarisse for the next part of the presentation.
Clarisse Gobin-Swiecznik: Thank you very much, Jacques and good afternoon everyone. As part of the presentation that you just heard, I'd like to follow-up with some of the key figures for operational performance. As Jacques just reminded you, the sector of energy distribution has shown itself to be remarkably resilient with a gross -- growth, sorry, in volumes of 5% across all of our regions. Group EBITDA is down 3% like-for-like versus 2023, that is within market guidance and comes in between our two previous record years that were 2022 and 2023. Therefore, I believe it's fair to say that our financials are solid despite a political, environmental and political time that has become more chaotic, especially in Africa. Our new approach, multi-country, multiproduct and our strengthening of our control over the supply chain through acquiring ships, as Jacques reminded us, go to show once again the effectiveness of our business model and our ability to absorb external shocks and we'll be coming back to that. We are once again driven by strong performance in English-speaking Caribbean, above our expectation. Volume is up and operating profit is up, thanks to good performance of LPG and good performance in Africa as well, although slightly offset by issues in Kenya, in large part due to high inflation and high volatility with an increase in interest rates that has eaten into the margins of our networks and B2B volumes that were down because of that. Regarding CapEx, which is an important item to remember in our future business, it's up for electricity produced by solar panels, in line with the expected and past growth, as we announced during the Photosol Day. Distribution is down, but 2023 include the purchase of two Caribbean LPG ships. These investments have served to support our organic growth. We have been able to penetrate new markets for bitumen and the increase in market share across our market regions and also, of course, the maintenance of our infrastructure. As you can see, corporate net financial debt at Rubis shows that we have been conservative in our management and also show the good financial health of the group as it is all under control. And finally, our cash flow generation is still very high, up 18% this year versus the previous year. This year, this comes from precise inventory management and good WCR management in an environment where oil prices have been more favorable near the end of the year. Let's get into more detail of the various business lines, starting with energy distribution. As I stated earlier, volumes are up 5% with performance that is very solid in aviation, plus 25% and bitumen, plus 10%. Gross adjusted margins remained stable across the year. And across our geographical regions, we benefited from higher volumes, plus 6% for Europe, plus 2% for the Caribbean, with volumes down 18% in Haiti and plus 16% in Africa. Let's start with the Caribbean. In the Caribbean, we are once again satisfied by solid performance in Retail & Marketing, but also in Logistics, Support & Services. As Jacques said, this is mainly driven by dynamic tourism, thanks to the American economy doing well. And thanks to the impressive growth posted by Guyana, which continues to significantly contribute to the profit there. The dynamic in 2024 appears to be continuing into 2025. However, we are expecting a slowdown in the increase going forward. In Europe, GPL [ph] is still doing well with volumes that are still plus 6%. Things are also holding firm in our other geographical regions. In Europe, demand for LPG is up, thanks to good demand in France and Spain and good bulk sales in France, in Portugal, in Spain, and Morocco. In other regions, the growth is being driven by bottled sales, which is a lower-carbon solution and better for the environment compared to paraffin or charcoal. In Africa, despite the fact that volumes are up 7%, mainly in aviation, our network of service stations and bitumens, we have faced headwinds, especially in Kenya. In Kenya, the inflationist economic environment has come together with environmental issues such as flooding and that ate into our margins in the network due to the increase in interest rates. However, we are expecting those to be valued upwards in 2025. Nigeria is coming in a little bit under expectations for bitumen. However, volumes have been up across all of the other African countries, especially in South Africa, in Cameroon and Guinea. For our solar panels, development is continuing as expected and as announced during the Photosol Day. The secured portfolio is now more than 1 gigawatt, up 22% in 2024. And the project pipeline is now at 5.4 gigawatts with 26% growth. Business volume is up a lot with applications for a further 650 megawatts of new permits, 250 megawatts of which obtained this year, that's twice as much as 2022. I'd like to remind you that the success rate in the first instance for receiving permission is more than 80%, 10 installations are currently under construction. Creil is one of them. It will be the second largest solar panel farm in France. The first megawatts came into service in February 2025 with the rest that will be gradually brought into service across 2025 and 2026. We are also going to be kicking off development of the first megawatts in Italy. Now we have been able to receive guaranteed pricing, thanks to the first agri-voltaic agreement in Italy. This is a tender which provides standardized pricing. Development in France has continued, with 900 megawatts of early-stage projects in Italy, Spain and Eastern Europe and 350 megawatts of projects have also been added to the pipeline. The Power EBITDA, so for Photosol, is where we announced it would be during the Photosol Day in September, €36 million. Revenue and EBITDA for 2024 have not increased in line with the rollout of capacity in the year and that is for a number of reasons that we've already discussed. Weather was very bad in a way that we haven't seen for 15 years. That damaged one of the plants that we ended up deciding to completely rebuild to be able to put better panels in and to have better distribution capacity. We've also seen impact of market prices. I don't know whether you remember this but there -- the CRE implemented some special measures when the war in Ukraine broke out and some electricity was very expensive to be able to sell some of those megawatts. The spot prices have fallen off this year but things have now come back into the CRE ranges at the end of the year. And as we announced at the Photosol Day, there's an increase in development costs in line with the increase in growth, which is, in the short term, weighing down performance in 2024 until that trend reverts and becomes beneficial in 2026. I'd like to finish up my part of the presentation for the time being with a quick update on the governance of Rubis SCA. Jacques already kind of touched on this. As you know, management and the Supervisory Board have done in-depth work to strengthen group governance across the year. At the end of 2024, the changes brought to the bylaws strengthened the assignments for the Supervisory Board, especially with the inclusion of three key points; an early opinion on major strategic transactions; secondly, formalization of annual updates on strategy and budget for the group and annual updates on the succession plan for members of the Management Board for major subsidiaries and Rubis SCA; finally, the Supervisory Board now receives updates on sustainability now that the CSRD has been implemented. Furthermore, following the succession plan initiated by Gilles and Jacques over the last years, we have started communicating and this was just before we went live this evening, that we will be continuing changing the group governance. Management, therefore, would like to put forward the appointment of two new non-managing members to follow up from Gilles Gobin and Jacques Riou, who would be leaving the management committee at the end of the AGM in 2027, on the books of 2026. Therefore, at the next AGM in June 2025, we will be seeking a majority to appoint Jean-Christian Bergeron, the current Director General of Rubis Énergie; and Marc Jacquot, the current Group CFO, who's also here with me. This succession recommended by the management committee is fully in line with the needs of our business and sector and also the requirements of a group such as Rubis. It brings together experience and skills in energy in the broadest sense of the word and in finance and financial professions. Jean-Christian Bergeron and Marc Jacquot both have a wealth of experience, over 30 -- more than 30 and 20 years, respectively. They've been able to build up their own legacy outside of the group in major international groups and publicly traded groups. Thank you very much for listening and I'm sure we'll be able to come back to this in a minute. I'd like now to give the floor to Marc.
Marc Jacquot: Thank you, Clarisse. So before going into the details of the financials, it's important to understand what comprises them and to compare things. The EBITDA bridge shown on this slide is in the same spirit of that, which we shared with you in the first half, refers to items that you're familiar with. On the left, we restate 2023 of the overbillings done to clients in order to offset some of the ForEx losses in Nigeria and adjustment of the price formula in Madagascar concerned early 2022 had a positive impact in 2023. That's €43 million adjustment. It's something that you're fully familiar with. So, we can leave that aside. And removing the various impacts concerning share-based compensation that I mentioned in the first half and the accounting impacts of hyperinflation. It's a non-cash approach linked to IFRS, higher -- three consecutive years of hyperinflation, reaching a somewhat 100%. The happy candidates are Haiti and Suriname. To a lesser extent, the impacts are pretty much similar in 2023, 2024. €22 million and €24 million for EBITDA but we highlight them here because they have a stronger and more unfavorable impact when we go down to net income. So, the real operating performance of this year on a like-for-like basis, 3% drop of EBITDA, representing €18 million and we have the same principle for EBIT. This time, it's a 10% decrease. And when we go down to net income, it brings us to a comparable decrease of net income by 4%, as mentioned. So, the conclusion of all this is really to say that Rubis is a fine machine with very good fundamentals. Let's now look in greater detail of our various activities. The EBIT front here on the like-for-like, €564 million in 2023 to €509 million in 2024. Here, it's quite striking. Africa suffered from difficult conditions, particularly Kenya. I won't recall what Clarisse mentioned. There was extensive flooding in Kenya in H1, demonstrations against the finance bill. This had a negative impact on volumes but excellent volumes in aviation that make us confident for that business segment going forward. But on margin, we had the fluctuation of the Kenyan Shilling that rose in Q1, that was pretty unusual occurrence, had an impact on the value of our inventory, degraded our margins. That was essentially in H1. We also had a price formula for retail in Kenya in a highly inflationary context is no longer suited to the industry cost base. So we're counting on the Kenyan government to adjust that and Jean-Christian will later tell you a bit more about that. Caribbean continued to be the leading contributor to the group's performance in excess of 50%, excellent activity, Jamaica, Barbados, Guyana worked very well too. The security, political situation in Haiti deteriorated sharply. It will be the subject of particular attention in 2025. And you see that it had a negative impact of €7 million on EBIT this year. Europe, the contribution is stable at a high level, Support & Services. The bitumen trading transatlantic was no longer possible. However, we're managing to maintain a relatively stable level and good activity in Caribbean and more trading over shorter distances as renewable energy production, €49 million, revenue stable versus 2023 in spite of increase in operating assets, but Clarisse explained all those developments to you. On the expenditure front, the costs, of course, increasing, which is a good news because they're increasing in line with our assets under operation, of course but also with development costs that are increasing to drive growth in our future expansion plan. There's this hockey stick curve and that will be the case still in 2025. So, this business model, well-diversified, maintaining a solid performance in spite of s light difficulties in the two regions mentioned. A word on the P&L. I mentioned EBITDA, EBIT, net income from associates, only Q1 of Rubis Terminal, 2023, that was full year. You see the capital gains of the sale, disposal of Rubis Terminal, €89 million. Net financial charges -- costs up €13 million, that's linked to the increase in interest rates. But more specifically in Kenya with the rise in the local currency, almost doubled in Rubis Énergie, some credit lines that were renewed in 2024 for the debt, we had a reset our -- swap hedges. And of course, the interest expense linked with Photosol increases in line with the debt, which is consistent with our assets under exchange rate losses, 37% -- 32% in Q1 -- down 32% versus last year, familiar with the certain countries where we can't hedge the currency in Kenya, Nigeria, notably. And in that case, we've put in place policies to -- for our balance sheet to try and hedge these currency fluctuations and we've managed that rather well. That's seen for the second half of the year. That policy working and fingers crossed going forward, at least for these currency. Lastly, other functional -- an additional expense of €8 million over the previous year, which is linked to hyperinflation. You see the -- for taxes the impact of Pillar Two, the global minimum tax of the OECD, which has an impact on our financial, €23 million in line. We mentioned a range of between €20 million and €25 million. That's our new standard, a new norm, this -- that will be in the -- for the coming years. €342 million net income, in the range that we announced last autumn. And that in spite it's an impact of €10 million linked to hyperinflation, that negative, which is an impact that's very difficult to forecast, which is non-cash. So, on a comparable basis, when we restate for the EBITDA items, I mentioned that we remove the capital gain of Rubis Terminal, the impact of Pillar 2 of the minimum tax. Well, it's net income on a comparable basis that is down 4% versus 2023, that was excellent level. Total net debt stands at €1.3 billion at the end of 2024. So, it -- and the corporate debt reaches €861 million, very good leverage of 1.4 times and total leverage, including all financial debt is at 1.9 times. Let me remind you that we issued a USPP to extend the average maturity of the debt to 4.5 years, which gives us access to a new liquidity facility that's always welcome. Variation of net debt, well, obviously, that's due to a very favorable free cash flow, €320 million, operating cash flow, almost at €700 million. Taxes paid for €168 million and working capital requirement, that's positive at €39 million, which is the result of the decrease in the price of our products, that leads to a positive impact on WCR. CapEx totaled €248 million, as Clarisse mentioned, Rubis Énergie that had CapEx of €165 million, which is down versus 2023 and slightly below our normative, next year will no doubt be higher. And lastly, Photosol, CapEx of €82 million. The sale of Rubis Terminal is to be noted, generated €125 million of cash flow and we redistributed €77 million in the form of dividends following that sale and we have the usual dividend that we paid in June. And then non-recourse debt is up €65 million in line with Photosol CapEx. So, at the end, we have a very healthy balance sheet, very comfortable cash to address 2025.
Jean-Christian Bergeron: Thanks Marc. What I wanted to share with you is really our vision, the vision that co-constructed with our teams, managers across the geographies in which we operate for the next three to five years of various geographies, businesses, starting with Africa. As you can see, Africa is a growth territory for Rubis Énergie, be it for LPG fuel or bitumen. LPG present primarily in Morocco, South Africa, and East Africa. We have ambitions to see the market grow between 2% and 4% with two drivers, clean cooking and the growth to transition between the use of wood and charcoal, which are, of course, two uses that, in a way, reduce the carbon footprint of those countries. So, clean cooking, the sale of gas cylinders and increasingly to support our B2B clients who wish to move from high carbon intensity, heavy fuel or diesel to LPG facility. So, we have an important opportunity where Rubis will position itself. Fuel, primarily present in East Africa, strong growth in demographics. Africa, we'll see its population go from 1.5 billion people to over 2 billion by 2050. So, of course, that's going to require major energy needs and Rubis will be there to support those needs and mobility will expand. Growing populations, increasing middle class share of the population. We're going to focus a great deal on what we're seeing expanding across our geographies in the service station network, so larger ecosystem than just merely selling fuel with ancillary services and activities to attract consumers and create value. Rubis must seize those opportunities for a simple reason. We have small competitors who are taking our market share in fuels, don't have the expertise and financial clout to develop these ancillary systems that customers see. Bitumen, major infrastructure projects are in the population, but also with regular elections or other events that require infrastructure projects. So, we're very confident as to the growth of bitumen activities in Africa. So, in conclusion, Africa, growth opportunity for Rubis through Rubis Énergie. Caribbean, an area where we're well established and we see this continual expansion of tourism and industrial activities supporting tourism growth, so good prospects, both for LPG and fuel. Special word for Guyana and Suriname, Guyana is up and running with oil production on the rise, and Suriname, it said that the oil production should begin in 2028 with the exploration and production projects. Once again, Caribbean, although the area is more mature than Africa, will offer Rubis a number of opportunities. You see the growth rates that are quite sizable that we're anticipating. Lastly, Europe, notably LPG business, that's significant, Spain, Portugal, France, and Switzerland, as Clarisse said, thanks to this activity, we have a fine contribution of LPG in our result. Volumes in certain countries are slightly down, but through savings in our OpEx, efficiencies, good price management, we can maintain a level of profitability that's quite satisfactory, that allows us to remain very confident for the out years. So, overall, we're operating in growth markets with significant opportunities for Rubis. These growth markets, these opportunities have enabled us to define for the out years, our roadmap for Rubis Énergie based on six priorities that I'll run through. The first is significant. It's the main driver, I would say, for Rubis Énergie in terms of profitability, is this organic growth. As Jacques said, over the past five years, there's been steady, continuous organic growth. Over the next five years, we expect that to continue with organic growth rates for our volumes, for our margins of the order of 5% per annum. We're on markets that are growing and on these growing markets, we're confident in the quality of our teams to outperform the market. That's the goal we've set ourselves. So, very strong organic growth and that is once again the pillar of our strategy. The latest acquisition in 2019 was this one. We've had some ups and downs in between then. And now, of course, COVID and there's also been some discussions about transitions, which meant the market still needed to find its footing but it certainly seems that in 2024 and more so in 2025, that the M&A market has become much more dynamic and that should open up some opportunities for us going forward into 2025 and beyond. And as always, Rubis will be ready to seize opportunities as they arise, as long as they make sense in line with our strategies and so long as they are going to create value for us. We have identified some must-haves in that acquisition strategy, including our need to significantly optimize the assets that we buy up. We need to make sure that we're in an environment where the competitive landscape is relatively well-controlled in terms of numbers, basically avoid the more chaotic markets. And we want to be able to develop in countries where our logistics, that we've already discussed at length and our control of our supply chain, enable us to have an edge over competitors and over anyone else in the marketplace. So, if we're able to achieve all of this, we'll be able to generate further investments that will generate further value going forward. Beyond developing margins and volumes, we also are cautious to continue to develop a healthy management of our business, controlling OpEx, controlling CapEx, controlling WCR. And as Marc has already said it a number of times, we're keen to find tools that will enable us to hedge our risks for currencies. These are things that have weighed us down in the past. And I think that now, thanks to Marc's teams, we've been able to get our hands on a number of tools that help us to avoid that risk and to continue to develop without being overly exposed. The energy transition is, of course, very important. There are two major components to this. First of all, we need to continue to find businesses that create value in low-carbon sectors. This is fundamental as we want to make sure that our low carbon activities do not destroy any added value for the company. That means that these low carbon businesses need to have ROIs that are in line with what the group would expect from Rubis Énergie. Also, lowering the carbon emissions of our business, shipping and SARA especially. SARA is our Antilles refinery. Those both account together for 90% of our emissions and we've already started to reduce those. Finally, a major priority for Rubis is going to be continuing to be an innovative company working closely with customers. And as part of that, we're looking ever more ways that we can leverage digital technologies, AI that you would have heard about everywhere and data management. I think you've maybe heard the expression, turn data into value and that's at the heart of what we want to do. And that means that we are confident in our ability over the next five years to continue to develop at a pace that is at least on par with what we've had over the last five years. Thank you very much. And I'd like to now give the floor back to Clarisse.
Clarisse Gobin-Swiecznik: Thank you, Jean-Christian. Now very briefly on this slide, I'd like to kind of summarize in a few words what we have. So, once again, solid operational performance, thanks to a diversified business model that is very relevant to today's environment. EBITDA is stable on a like-for-like basis, in line with our guidance. Cash flow generation is still high, which shows the good health of our management of the financials. Net profit like-for-like is down 4% versus 2023. Debt is very much under control, as we've already said. And Jacques has said, for the 29th year in a row, we are increasing our dividend to €2.03 per share. So, what should you expect out to 2025? Well, depending on business lines, some of the 2024 trends will continue into 2025. In Europe, we're expecting a continued moderate growth of LPG but still growth, which will continue to generate cash and we're going to continue to develop Photosol. There will, however, be development costs that will be up in 2025, as we've previously mentioned. In Africa, we're expecting margins for service stations to climb back up. Bitumen volumes are likely to continue to grow as we develop in new countries. In the Caribbean, business is likely to remain at a high level. And for the group, so the second pillar, we're now business as usual, so, we're kind of entering our new landscape here. And ForEx management has improved a lot this year and we'll continue to keep a very close eye on it. Our working theories for 2025 include an adjustment of prices in Kenya sometime throughout the year. No further decrease in the security and economic situation in Haiti and hyperinflation identical to 2024. Given these working hypotheses, our guidance range to the markets for EBITDA is between €710 million and €760 million. And we're expecting to continue our policy of increasing dividend that we've always had. I'd like to thank you for your attention and we'd like to now answer any questions you may have.
Operator: Our first question is from Kepler Cheuvreux. Given the 2025 outlook, if we're expecting earnings per share to be down versus 2024 and if that is indeed the case, how sustainable is the growth in dividend policy?
Marc Jacquot: Well, there are a number of answers I can bring to that question. First of all, we're not giving you guidance for next year on EPS. You do have EBITDA guidance and you know that as we develop Photosol, we're likely to see financial costs that might uptick slightly in 2025. There's still uncertainty and our experience of the past leads us to be cautious when it comes to ForEx, although we have implemented a great number of measures to hedge our position. And also we don't sell off Rubis Terminal every year. So, that's what I can share at this point on likely changes on earnings per share. As to the sustainability of the dividend policy, it's always been a priority for the group. We've always been very clear on that when we've spoken to the markets. Rubis has the means, indeed, has the cash on hand to continue to pay out this dividend. And I'd also like to draw your attention to the fact that we're not paying out 100% of our profit. That's also something that you should take into account when you consider what we're doing. We're currently in a Photosol ramp-up period with Photosol that is running at a loss right now but we're absolutely able to bridge the ramp-up period, the growth period waiting to reach cruising altitude.
Operator: Next question from Jean-Luc Romain, CIC analyst, who's asking if unitary gross margins have changed in Africa, especially Kenya at the end of the year? And should we expect a return to normative levels in 2025? Next question, are there any countries that Rubis could pull out of that are dragging them down?
Jean-Christian Bergeron: Let me answer on Kenya. Gross margins in the second half didn't improve because there was no valuation adjustment and no margins changed, although we hope that, that might have happened. It appears that the government has finally now come out and discussed margins that may be adjusted in the coming months with the first adjustment on the 15th of March as reassessment of margins is done at the middle of every month. We're still waiting for confirmation. We're still being very conservative. But we believe there's a high likelihood that the process of reassessment of margins will kick off mid-March and should probably lead us to some results after three or four months. That, of course, means that we're confident in our ability to get back to strong profitability in Kenya and in Africa as a whole. As we've already stated on a number of occasions, despite the fact that profitability is down because of the effects that we have broadly discussed up until now, over this period, volumes also continued to increase considerably and market share as well. That means that once the situation changes, there's going to be a strong ramp-up in our profit and that's very good news. So, we're pretty confident, very confident, in fact, in Eastern Africa and Kenya.
Jacques Riou: As to countries that we could cut loose, I think somebody has maybe got Haiti in the back of their mind there. Haiti is experiencing some pretty big societal and political upheaval right now. But Jean-Christian, you might have some ideas on that. But I imagine that that's what the question was pointing towards because there's no country really dragging us down in our portfolio. Haiti is going through a very difficult time. This is a country that has 11 million inhabitants. It's a public security crisis and we're all waiting for the international police force that is supporting the Haitian police force comes in and is deployed in a more meaningful way. All it would take is for the situation to improve and the economy can kick off again. A large number of our service stations, for example, are not accessible right now. What it would take is for the situation in the capital to calm down and then business can resume. So, things could shift on a dime and this is a country where we had very good business until this unfortunate kind of civil war outcome. Jean-Christian, do you want to follow-up?
Jean-Christian Bergeron: Well, we've already known for a number of years and we have been talking about this in a kind of minimalist way from an investment perspective and a spending perspective. But right now, we're in a situation where it would honestly be difficult to do worse than 2024. No, I'm not going to say we're very confident but we're at least optimistic on the results improving. As Jacques said, if the environment were to improve, we'd be able to get back to much better business very quickly. We also made a number of decisions. The Haiti situation should be seen as in the bottom of the trough right now. And what we need to do is make sure we keep market share versus our competitors. We've deployed a number of logistic means to achieve that. We've got two boats that we'll be getting into the region at the end of this month and the end of next month, that should increase our ability to supply our clients. We have a lot of clients that aren't receiving fuel, lots of service stations that aren't receiving fuel. So, we're hoping that 2025 will be a bit better.
Operator: The next series of questions comes from Emmanuel Matot from ODDO. First question, what are the discussions with the Kenyan authorities on reevaluation of the unitary margin? Should we be concerned for Photosol if the energy purchase prices changes? Could the government limit agrivoltaic farms? What about the maritime transport of bitumen? Next up, why have you not given us any guidance for net profit for this financial year, when you did in the previous years? And what will happen after Mr. Gobin and Mr. Riou leave for governance in 2027?
Jacques Riou: Well, first of all, I would like to reassure you that Rubis' corporate structure will not change. The management committee governance is being adjusted, given Gilles Gobin, myself stepping down. But you shouldn't expect a second step coming behind it. The discussions on margins in Kenya, I think Jean-Christian has kind of already answered that in his previous answer that the first effects that we've been expecting for a while are likely to come in, in two days. So there will be a first upward valuation on the 15th, which is very good news for Kenya. As to solar energy purchase prices, Clarisse?
Clarisse Gobin-Swiecznik: I think this is a reference to what is known as PPE 3. Targets will remain in the range as was announced and cuts for solar will not affect ground-based solar farms. So, for the time being, we're not expecting any issues and we don't see any particular roadblocks for developing Photosol and our development plan.
Jean-Christian Bergeron: A word on bitumen now. Indeed, there are still opportunities to develop bitumen in our African regions. We recently entered the South African market with a great outlook for growth there. So, that's the kind of first answer. We've also been able to strengthen our position in Angola. Angola is important because we have important development projects on the short and medium term and also potentially and this is currently being studied, way into the Democratic Republic of Congo. So, yes, there are still opportunities on bitumen and we're working on them.
Marc Jacquot: And finally, to answer the lack of guidance on net profit for the year, we're giving you an operating guidance. I've given you some ideas of the net debt situation. You know how much we're being taxed. And you also know that there's a fair amount of volatility when it comes to foreign exchange markets, although as I have said, we want to make sure we can keep those losses to a minimum. I think that based on that, you can come up with your own estimates. And also, we have that hyperinflation standard that could create some volatility in our accounts. And it actually doesn't really help understanding the performance of the group. So, that's why we have decided -- I have decided to not give a precise guidance, at least, don't want to commit to guidance on net profit.
Clarisse Gobin-Swiecznik: There's volatility under EBITDA and that's why we've preferred to provide guidance that we're comfortable in providing for creating value and operational performance. And please understand that we are doing the best we can.
Operator: Next question from Mohamed Mansour. Given the current low valuation of the shares, why not replace the dividend payout with a share buyback program that would be more optimal for shareholders and would create more value than paying out a dividend?
Marc Jacquot: Well, that's a big topic there. And quite a theoretical kind of abstract debate as well. Share prices are not always predictable, especially when you've got share buybacks.
Jacques Riou: In theory, it can create value sometimes though. It's important to realize that for this year, so the year that we're discussing, we also did have share buybacks with a view to canceling those shares to offset a small dilution that may have occurred due to awarding shares to staff. That's only part of the answer. But indeed, we have been discussing things. We have ongoing open channels of communication with our shareholders. And for the time being, we're not expecting any major share buyback programs as the question implied.
Operator: We have Nicolas Royot asking, can you give us an estimation of the extra temporary tax in France in 2025? Can you explain the difference between the managing and non-managing members of the Board? And what is the amount you would consider for further acquisitions, so maximum leverages whilst continuing to invest in Photosol?
Jacques Riou: Well, for that first question, I'm not sure I can really answer you. What I can tell you is that recently, temporary things have ended up not being all that temporary but that's maybe just my opinion on the matter. Now, the difference between managing and non-managing members. Given our corporate structure, we have Gilles Gobin and myself who have a mandate from the shareholders and then shareholders, of course and then the company. So, we have control over our assets. The managing members are in charge of managing the group and they can either have a mandate from the shareholders or not, known as commodity or not in French law. So, our two new members would receive that commodity status are based on shareholder decisions and moving them to other parts of our corporate status would be a different consideration that won't be being put to the shareholders. There would be five managing members by the end of the year. And Gilles Gobin and myself would be putting out a year and a half after that. So, that will be the end of a long process. There were all sorts of steps that we expected so that the transition is done in a predictable and a solid way. And this is the next step working with our limited by shares members. And this will lead us to longer-term evolution within the group. I don't know whether there was another question as part of that?
Marc Jacquot: There was that question on French taxes. I think that this extra tax is going to have minimal impact on us in 2025. And that was the final question there?
Operator: The amount available for M&A.
Marc Jacquot: That's kind of an interesting question and probably for our managing members but I think I can answer part of it. So, the question related to potential leverage gearing. You could look at corporate debt. Our banking covenants as we've discussed that are at about 3.5x EBITDA. We're at 1.4x right now. And our Managing Directors will probably tell you that they would prefer a lower gearing to maybe 2.5x.
Jacques Riou: Yes, I can agree. That is indeed the case. We try to remain reasonable. But I'd also like you to remember that with the sale of Rubis Terminal, there was a significant windfall in capital gains and that means that our borrowing potential is solid, as Marc has expressed. We're not setting an M&A envelope because it wouldn't really make sense to paint ourselves into a corner like that. But we are keeping our eyes open for the right asset in the right place. And this is something that we have been doing well for decades now within the group. So, there's no risk that we would endanger the financial situation of the group to overreach but please remain assured that we will be dynamic in looking at new targets. It feels like we're coming out of a period of cheap money with the COVID period and low interest rates. And now we're going to maybe start seeing opportunities brought up by groups that are looking to divest from some of their own assets. And we're keeping our eyes open. We're studying a number of opportunities. It's the kind of thing we want to talk about, but we can't really at all. So, let's be honest. I'm not saying that there's something that will be announced tomorrow. Do we have another question?
Operator: Two questions from Mr. [indiscernible]. You're indicating midterm guidance for LPG fuel for Africa. Can you detail the revenues in each of these segments currently? Second question, average growth rate for Rubis Énergie consolidated for the next few years.
Marc Jacquot: Well, Africa is 40% of the business, give or take. LPG, we don't really talk too much in revenue, rather more in margin terms. LPG, about 30% of the business, bitumen, 25% and fuel, the remainder of 45%.
Jacques Riou: It's weighed by margin because the cost of petroleum products very greatly in nominal terms. But of course, our business is based -- is margin based and that's the solid, serious benchmark really is at the heart of our business.
Clarisse Gobin-Swiecznik: And midterm trend, Jean-Christian Bergeron answered earlier saying that organic growth of Rubis Énergie, very solid, 5% growth announced this year. That's a trend set to continue.
Operator: Next, I have three questions from Jean [indiscernible]. The first concerns PV and so asking, when are you going to get rid of this non-profitable business? And secondly, changes of governance. He's asking as part of the new functions, will the Supervisory Board decide on the diversification strategy in renewables, hydrogen, solar? And how was 2024 for hydrogen?
Clarisse Gobin-Swiecznik: The Supervisory Board has a prior opinion on important and strategic transactions of the group. That is all strategic transactions that are important for the group, that's to say all sectors in which we invest.
Jacques Riou: And the Supervisory Board provides serious solid support to the extension of our activities on low-carbon energies, notably solar PV. So that, I think that was the second question. When would we sell -- I think the first, when are we going to sell Photosol? That's not on the cards at present. For Photosol, we entered the market in order to develop and expand the business in industrial terms, leveraging for that projects that are very high growth rates that exist in Europe as well as particularly in France. It's extremely difficult to find markets in which governments have committed double-digit growth at that level. It's an opportunity that we wish to focus on like any accelerated development in a business such as this. We need to wait a few years in order to see the results rise to the ambitious levels that we've set our sights on so to consider that. Since we invested, that is about two and a half years ago, we have increased the secured pipeline, the 1 giga -- about 1.5 giga by the end of the year are tripling. So, the value of these activities and this asset isn't measured in terms of EBITDA or net income at a particular moment in time, but the secured capacity, the installed capacity and a very serious pipeline that is expanding rapidly. So, it's something which in terms of EBITDA and other management metrics must be assessed seriously over the next two years. Let me add that we have filed 650 megawatts of permits in 2024. There were 600 megawatts at the previous year. To give you a point of comparison, when we took over the business, there are only 300 megawatts installed. So 600 megawatts of permits, planning permission granted over one year, years and a half to the tune of 90% serve as the basis for future cash flow once they've been built. And it's this process that is put in place. And the permits will generate the secured pipeline and over the next few years, will generate the expected cash flows. We're in a period of a hockey stick curve where major investments -- now is the time to invest and we mustn't be worried by announcements made in some quarters on this PV business in France, notably, because we believe that the targets in terms of PV plants, ground-based that are our specialty, they won't be amended in forthcoming legislation. That's what seems to be most likely. Okay, there are a few or some future contracts that are being called into question on smaller facilities, roof-based notably for which the price of megawatt or the price of electricity is a lot higher. This is an adjustment that can take place. But for us, would only affect a very minor portion of our activities where really the specialists of large-scale ground-based installations in France and increasingly abroad because we've already begun to invest in Italy and excellent economic conditions.
Clarisse Gobin-Swiecznik: So, all questions on the offtake electricity price is concerned S21 for small ground-based plants, up to 500 kilowatts with subsidized prices. That's not at all the Photosol market.
Operator: Several questions now regarding the disposal of Rubis Terminal that are -- the first for Clarisse, with the ramp-up of LPG, the sale of storage, isn't that a mistake, [indiscernible]? Second question, how will the -- split the rest of the disposal of Rubis Terminal? And lastly -- no, those are only two questions on Rubis Terminal.
Clarisse Gobin-Swiecznik: Storage, Rubis Terminal with storage for third parties had nothing to do with the LPG distribution activity. Rubis Énergie has holdings and its own storage facilities in France, has no link whatsoever with the activity of Rubis Terminal.
Marc Jacquot: On the proceeds to be received, over the next three years, we'll be receiving a total of €260 million over three years on a spread over the next three years on an equal basis. And the proceeds of that disposal, we hope, will serve further M&A, further expansion.
Jacques Riou: So, the disposal of Rubis Terminal was part of a more long-term vision. It's a very fine business without a doubt but we'll have to adapt constantly to market changes for petroleum-based fuel products in France and Europe. So, we wanted to move a market that's attractive, which is that of producing low-carbon electricity.
Operator: Next, I have two questions from [indiscernible]. The first concerned solar and the tariff changes in France. We've already answered that question. The second concerns governance. Why are you so attached to the partnership structure, really, is that part in history because of a better alignment to stake-hold? Why not transfer that into an ordinary share clause out of the limited partnership? And is also asking what fundamentally justifies maintaining the partnership because the risk of bankruptcy is very remote?
Jacques Riou: Well, thank you for that assessment that reassures me and ties in with my own view. I have very confidence in the strength of the group and its ability to continue to expand. Nevertheless, the responsibility remains and it's very real. Well, it's a long-standing debate over 30 years in the life of the group. It's often been mentioned. And the decision taken from day one was to ensure a distribution of capital that's very, very fluid and highly fragmented, allowing shareholders to enter or exit very easily with a partnership structure that brings to the company visibility, stability. And so it's a setup that is, maybe goes back a long way in history but there's some great companies in France that still operate under that setup. And don't think that they're facing that choice. It brings a long-term perspective to develop investment policies over several years, not over the very long term but over several years. PV, that sometimes far more difficult for joint stock companies with highly fragmented share ownership gives stability to the employees, mustn't forget that. And it gives the constants of an entrepreneurial family-based company has set up that some may not like but it has strengthened solidity that's proved its worth. There is some very good studies on family-based companies and their growth that shows that they've always performed well. Of course, I recognize the share price is not satisfactory. It satisfies no one, including in this. But the solidity, the strength of the group, the cash flow is there. And the managing partnership offers that perspective. I don't know if we've answered all your question.
Operator: No further questions on the line.
Jacques Riou: I think we've done the rounds. So, since we have no questions, I hope we've answered all the questions that you were kind enough to ask us. Thanks for joining us once again and we hope to see you when we present the results of the first half 2025. Thank you. Have a pleasant evening.